Operator: Good morning. My name is Sylvie, and I will be your conference operator today. At this time, I would like to welcome everyone to the MEG Energy’s 2023 Q2 Results Conference Call. Note that all lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. Derek Evans, CEO, you may being your conference.
Derek Evans: Thank you, Sylvie. Good morning, everyone, and thank you for joining us to review MEG Energy’s 2023 Q1 operating and financial results. With me, on the call this morning are Ryan Kubik, our Chief Financial Officer; Darlene Gates, our Chief Operating Officer; and Lyle Yuzdepski, our General Counsel and Corporate Secretary. I’d like to remind our listeners that this call contains forward-looking information. Please refer to the advisories in our disclosure documents filed on SEDAR and on our website. I’ll keep my remarks brief today and refer listeners to yesterday’s press release for more details. Our top priority at MEG is our focus on health, safety, and the environment that ensures nobody gets hurt, eliminates serious incidents, and delivers operational excellence. I’m extremely proud of the safety, operating, and financial performance delivered by our team. Their focus on plant reliability, steam utilization, and ongoing well optimization have all contributed to a strong operational quarter. I want to congratulate and thank the MEG team on the execution of a safe and successful second quarter turnaround despite the challenging labour market and ongoing supply chain constraints. Before I turn the call over to Darlene and Ryan to share details of our results, I’d like to briefly touch on the second quarter highlights. Bitumen production in the second quarter averaged 86,000 barrels a day, a 28% increase over Q2 2022. In the quarter, our bitumen realization after net transportation and storage expense of $57.64 cents was a 33% increase over the first quarter and was primarily driven by an almost US$10 per barrel improvement in the WCS differential since Q1. These excellent operational results enable our ongoing commitment to debt reduction and share buybacks. In the first half of 2023, we have repurchased US$126 million or CAD171 million of the outstanding 7.125% senior unsecured notes. Share buybacks in the same period total of $169 million through the repurchase and cancellation of 8 million shares. Free cash flow remains allocated at 50% to debt reduction and 50% to share buybacks. Once the US$600 million debt repayment target is achieved, MEG will return 100% of free cash flow to shareholders. We anticipate achieving the $600 million debt target mid-2024. I’ll now ask Darlene Gates, our COO to speak to the operating results and ask Ryan Kubik our CFO to talk to our financial results. Before I open the call to questions, I’ll provide an update on the Pathways Alliance’s efforts this quarter. Darlene, over to you.
Darlene Gates: Thank you, Derek, and good morning, everyone. Our top priority at MEG remains health, safety, and environmental performance. This quarter we continue to advance our operations excellence and safety leadership development program. It is our approach to continuous improvement that enables us to be a leader in responsible and sustainable energy development. Production of 86,000 barrels per day in the second quarter was delivered at a top tier steam-oil ratio of 2.25 and includes the completion of a major turnaround. This resulted in a quarterly production impact of approximately 20,000 barrels per day. Operating expenses net of power revenue averaged $6.63 per barrel in the second quarter. This is a 48% reduction from the same period last year. The completion of our second – our scheduled turnaround was a key milestone in the quarter. It was the largest in our history in terms of work hours at just over 220,000 hours and was completed on schedule with zero recordable injuries and zero recordable spills. Increased turnaround costs in the second quarter reflect a larger plan turnaround scope, found work, inflationary pressures on labor costs, and supply chain challenges. I want to take this opportunity to thank our maintenance, operations, and contractor crews for their commitment to delivering and executing a safe turnaround. Moving forward, we are focused on optimizing second half production, which is forecasted to be approximately 105,000 barrels per day. Third quarter volumes will be impacted by planned, facility and infrastructure and field infrastructure projects required to distribute high pressure steam to the field – the future well pads. This will be partially offset by the startup of infill and redevelopment well drilled earlier this year. Steam injection to our newest pad in the third quarter will also commence and ramp up to its full production by year-end. We expect a strong finish to the year again with an exit rate of 110,000 barrels a day. With that, I’ll turn it over to Ryan to provide the Q2 financial results.
Ryan Kubik: Thanks, Darlene. MEG’s cash operating netback in the second quarter of this year was $42 per barrel, generating $278 million of adjusted funds flow in the quarter or $0.96 per share. As Darlene mentioned, our production averaged 86,000 barrels per day during the quarter and was significantly improved differential since the start of the year. Our Q2 bitumen realization after net transportation and storage expense was $57.64 per barrel. Non-energy operating costs averaged $5.66 per barrel in the second quarter, consistent with $5.65 per barrel in Q2 20 22. Energy operating costs net of power revenue, however, declined to $0.97 per barrel from $7.32 per barrel in Q2 last year, reflecting low 2023 natural gas prices. In addition, we continue to enjoy strong power revenue from our co-generation facilities, which offset 75% of energy operating costs in the current quarter. Our Christina Lake project reached post payout royalty status this quarter, resulting in an increase in the effective royalty rate to 13% of bitumen realization after net transportation and storage expense. After funding $149 million of capital expenditures, about 45% of which was related to the turnaround, MEG generated $129 million of free cash flow. That free cash flow was used to buy 3.1 million MEG shares for $66 million and repay US$40 million of senior notes in Q2. We ended the quarter with just under US$1 billion of net debt and still forecast reaching our US$600 million net debt target around mid next year at current oil prices. With production forecast average about 105,000 barrels per day in the second half of this year. We’ve maintained our a 100,000 to 105,000 barrel per day annual guidance range, but we’ll trend to the low end of that range. Per barrel operating costs and G&A guidance is also unchanged, but we’ll trend to the top end of those ranges under the current production forecast. With rising second half production and continued strong oil prices, MEG is now positioned to generate even more free cash flow in the second half of this year for share buybacks and debt reduction. Thanks. And with that, I’m going to hand it back to Derek.
Derek Evans: Thanks, Ryan. Before we move on to questions, I’d like to share an update on the Pathways Alliance. MEG along with its Pathways Alliance peers is progressing pre-work on the proposed foundational carbon capture and storage project, which will transport CO2 by a pipeline from multiple oil sands facilities to be stored safely and permanently in the Cold Lake region of Alberta. During the second quarter of 2023, the Alliance continued to evaluate its proposed storage hub and is working to obtain a carbon sequestration agreement from the government of Alberta by year-end 2023. In addition, the Alliance continued to advance engineering and field work related to the proposed CCS project in order to support a regulatory application anticipated in the fourth quarter of 2023 for the CCS network. Formal consultation with about 25 Indigenous groups along the proposed CO2 transportation and storage network corridor has commenced and follows early engagement with these groups over the last two years. The Alliance continues to work collaboratively with both the federal and Alberta governments on the necessary policy and co-financing frameworks required to move the project forward. The government of Alberta recently recognized that a coordinated approach with the federal government and industry is needed to compete with the United States, Europe, and others for investment in wide scale carbon capture and storage deployment, which is essential to achieve emissions reductions goals. The Alberta and federal governments are in discussions relating to the formation of a bilateral working group to incentivize carbon capture and storage and other emissions reduction technologies. As I bring my remarks to a close, I once again want to extend my thanks to our team for their commitment and perseverance. I’m proud of what we’ve been able to accomplish and confident in our future and our commitment to sustainable, innovative, and responsible energy development. On behalf of MEG’s board of directors and our management team, I want to thank you for your continued support. With that, I’ll now turn the call back over to Sylvie to begin the Q&A.
Operator: Thank you, sir. [Operator Instructions] And your first question will be from Menno Hulshof at TD Securities. Please go ahead.
Menno Hulshof: Thanks and good morning, everyone. So you touched on this in your opening remarks, but can you elaborate on what drove the decision to adjust the outlook to the low end of the production guidance range? And I guess, more specifically, what’s changed in the plan relative to the beginning of the year? And then finally, and I think the answer to the last part is no, but is there any sort of a knock on effect into 2024?
Darlene Gates: Thanks, Menno. It’s Darlene. I’ll take that one. When I look at what’s changed, our plan facility and field infrastructure projects, as I mentioned require tie-in and that limits our steam availability to the field. If you look at when we are in the turnaround, our hope was to bring that into the turnaround scope, so it didn’t impact production in Q3, Q4, and we were not able to do that based on some of the supply chain challenges that we were experiencing. That’s really the key difference when I look at what’s different from the second half to what we were hoping to achieve in versus what is in the plan now.
Menno Hulshof: Okay, thank you. And so if you look to similarly on G&A and OpEx at the higher end of the range, I’m assuming a lot of that is volumetric, but it sounds like there’s a bit of an inflationary component in there as well.
Darlene Gates: Yes. We’re managing the inflationary pressure, but for sure, it’s really more the production impact that you’re seeing that’s driving that metric.
Menno Hulshof: Okay, thanks Darlene. And then finally, could we just get a refresh on your expectations for the trajectory for sustaining capital on a dollar per barrel basis and maybe the base decline in the SOR over the next couple of years as well?
Derek Evans: So Menno I’ll take that. I mean, I think you should expect will – our sustaining capital will be somewhere in that $400 million to $425 million on a go forward basis absent any adjustment for inflation that may be required. I think as we think about some of the pressures we’ve seen on G&A and operating costs, the single biggest inflationary pressure is coming from the people cost of all those business, which we have seen sustained and unrelenting pressure in that regard.
Menno Hulshof: And then the base decline in the SOR.
Derek Evans: Sorry, yes, base decline is relatively stable in that probably closer to 15% range. And the SOR continues on its downward trajectory. I think Darlene talked about the fact that we’re looking to exit – an exit rate of 110,000, which would indicate that our SOR will be somewhere in the 2.2 range at exit.
Menno Hulshof: Thanks. Thanks, Derek. I’ll turn it back.
Derek Evans: Thanks, Menno.
Operator: Thank you. Next question will be from Greg Pardy at RBC Capital Markets. Please go ahead.
Greg Pardy: Yes. Thanks. Good morning. Thanks for the rundown. If – I guess, it’s probably a question directed towards on the OPs side. But if we fast forward to year-end, when you’re at 110,000 barrels a day, when you look at how much field capacity you have, how much horsepower there is to actually produce bitumen in the field? And then compare that with what the processing facility can kind of take right now, which I think is 110,000 barrels a day, what does that balance look like? And then what is the plan or is there a plan to debottleneck the facility and what would that involve?
Derek Evans: I’ll take that one, Greg. It’s Derek. I think as you know, this year, we have figured out and really hit the top end of the facility capacity, which is really in that 110,000 to 100,000 – a little over 110,000 barrels a day. So fundamentally, we can achieve that when we’re bringing on new wells, new pads, which is what we’re planning on doing as we move through the second half of the year at low steam oil ratios. But as we’ve talked about in the past, we are going to have to add a third processing train to the facility, and we’ve talked about not doing that until we hit our $600 million debt target. But that once we got there, it’s somewhere in the neighborhood of $250 million to $300 million to move that field productive capacity – or not field facility productive capacity from 110,000 to about 125,000 boes a day. And we’ll take somewhere in the neighborhood of three years to do that. So I’ve talked pretty well exclusively about the facility, obviously, as we would’ve – as we’re investing to put that third processing train in place, we would also incumbent in that $250 million to $300 million is the new well pads that we would be drilling to fill that production and grow that production to that level as well.
Greg Pardy: Okay. Thanks for that. And then I’ll maybe just completely shift gears on you a little bit, but just curious what you’re seeing in the Gulf Coast right now as it relates to AWS and WCS vis-à-vis WTI, are you sending cargoes to China, India right now? Like, what’s the international appetite? And then I think just more broadly, what happens – what’s your view, I guess, on spreads with TMX next year?
Derek Evans: So a bunch of questions in that question. So let me start with where we see the differential today. The WCS differential appears to be in that $15.50 in Edmonton, quite a move from the $10 that we saw earlier. We think part of the rationale or the reason for that is that there was a lot of production of offline in that July, August period. And BP Whiting probably they moved their turnaround up from September into August. And we think that really impacted the amount of crude that there was a – I would call a semi distressed situation in terms of having a lot more heavy oil on the market, which really pushed that differential down and I think is a very good indication of what’s going to happen in pad two to those differentials once we bring TMX on. So good color there. As we think about what TMX may do in terms of bringing differentials down, I think as we look to that differential going forward for the remainder of the year. I think we’re pretty comfortable that it’s widened out as much as it’s going to and already has some what we would call winter effects in it as where we’ve got more condensate in the product going forward. Typically, you see it widened out through the fourth quarter.
Greg Pardy: Okay. Derek, and just on where – sorry just obliged to me if you wouldn’t mind, but just where’s WCS and AWS kind of trading in the Gulf right now?
Derek Evans: It’s about – in the Gulf, AWB is trading in I think it was at $5.45, $5.60 range yesterday. So WCS would be probably about $1.5 lower than that.
Greg Pardy: Okay. Thanks very much.
Derek Evans: Thank you.
Operator: And your next question will be from Neil Mehta at Goldman Sachs. Please go ahead.
Nicolette Slusser: Hey, good morning. This is Nicolette Slusser on for Neil Mehta. Thanks for taking the time. So a couple questions here just on the cost side of things. I think 2Q CapEx is just a little bit higher than maybe what some were initially anticipating and probably just a function of turnaround and maintenance in the quarter, but I know full year is unchanged at that $450 million. Can you just comment if there’s anything else we should have been looking out for in the 2Q CapEx and then if it is just maintenance the 3Q, 4Q, any type of color you can share there?
Derek Evans: Darlene, why don’t you?
Darlene Gates: Okay. So absolutely driven by the time you have the turnaround, so you got that absolutely correct. And then as we look ahead, no new signposts, right, we’re – we’ve built the capital profile at $450 million with the room for the inflation and some of those surprises and that – and we’re managing through that. So no upward vector on our capital profile.
Nicolette Slusser: Great. Thank you. And then the quick follow-up here is just on the OpEx side of things, and I’m not sure if there’s ever been kind of a longer-term OpEx per barrel target you guys have put out there. But is there any sort of drivers we should be looking towards as you approach that 110,000 barrel per day exit rate towards the end of the year?
Darlene Gates: No. We’ve maintained again the team has done an outstanding job of managing and driving efficiencies and how they’re running the business. And so what you see today is really what our sustained rate is and what the team is able to achieve.
Nicolette Slusser: Very helpful. Thanks so much for taking the time.
Derek Evans: Thank you.
Darlene Gates: Thanks.
Operator: Thank you. [Operator Instructions] And your next question will be from John Royall at JP Morgan. Please go ahead.
Alejandra Magana: Hi, this is Alejandra Magana for John Royall. Thanks for taking our question. I know this has been discussed at recent conferences and we were just curious about your latest thoughts if $600 million is still the right net debt floor.
Derek Evans: Absolutely. Let me take that question. Yes. The net debt floor is US$600 million. We have no plans to go lower than US$600 million and once we hit that US$600 million target, which we anticipate will be mid next year. We are going to go to 100% return of free cash flow to shareholders.
Alejandra Magana: Okay. Thank you. That’s very clear. And any updated thoughts on mainline apportionment from here?
Derek Evans: We think mainline apportionment is going to be de minimis in terms of actual published numbers and in terms of economic impact on the barrels again de minimis.
Alejandra Magana: Great. Thank you.
Derek Evans: Thank you.
Operator: Thank you. And at this time, Mr. Evans, it appears we have no further questions. Please proceed.
Derek Evans: Thank you, Sylvie, and thank you to everybody that joined us this morning for our Q2 results conference call. We’re excited about what we were able to achieve this quarter and look forward to updating you on our operational performance and return of capital program when we release our Q3 results in November. Enjoy the remainder of your summers. Thank you.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you to please disconnect your lines. Have a good weekend.
Derek Evans: Thank you, Sylvie.
Operator: My pleasure.